Operator: Good morning, ladies and gentlemen. And welcome to Covalon’s Q2 Fiscal 2025 Conference Call and Webcast. My name is Joelle, and I will be your conference operator today. As a reminder, today’s conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Brent Ashton, Chief Executive Officer; Ms. Kim Crooks, Chief Operating Officer; and Ms. Katie Martinovich, Interim Chief Financial Officer. Please go ahead, Mr. Ashton, Ms. Crooks and Ms. Martinovich.
Brent Ashton: Hi. Thank you so much, Joelle, and good morning to all of you on the call today. I apologize for our technical difficulties at the start here. Thanks to some good quick troubleshooting by Saleha and other members of our team, we're back in business here. We do appreciate you connecting in today. Kim Crooks, who's our newly promoted Chief Operating Officer, and Katie Martinovich, our Interim Chief Financial Officer, have joined me on the call here today and Saleha Assadzada from Covalon is also helping to coordinate the conference call and the webcast today. Saleha will now provide us with some instructions.
Saleha Assadzada: Thank you, Brent. Good morning, everyone. My name is Saleha Assadzada, and I am the Executive Assistant to Covalon’s Chief Executive Officer. I would like to thank everyone for taking the time this morning to attend our conference call. Before we begin the discussion, I would like to remind participants that this call and webcast are covered by Covalon’s Safe Harbor statement. Please read the Safe Harbor statement on this slide. This is also available on our website. I will now turn the call back over to Brent Ashton, Covalon’s Chief Executive Officer.
Brent Ashton: Hey, thanks, Saleha. It's great to be able to speak with all of you today. During our call today, I'll be discussing the following topics. First, I'm going to start with sharing some thoughts by Sandy Conn, a remarkable nurse leader at one of the top-ranked children's hospitals in the United States, and her thoughts around the difference that Covalon technology makes for her and her patients. Second, I will walk you through some very exciting recent highlights from Covalon that have us extremely bullish on our company's future, as well as a look at our Q2 year-to-date and trailing 12 months financials. We'll also showcase some key metrics from our US business. Third, we'll dive a little deeper into our market development work that we have been ramping up to drive accelerated adoption of the amazing products that Covalon has in its portfolio that make a huge difference in the lives of patients and the clinicians who serve them. We see the outcomes of this work being a significant growth accelerator for the company. And then we'll wrap up and take questions. We will prioritize questions via the web interface. So as we are going along here, please feel free to type your questions in. So starting from the patient impact side of things, I'd love to introduce you to Sandy Conn. Sandy is an amazing nurse leader at one of the top ranked children's hospitals in the United States. I had the privilege to first meet Sandy about a year ago and came away so impressed with her commitment and passion for her patients and their care. We should all be so lucky to have a clinician like Sandy if we end up in a hospital. I won't read the quote word for word here. You're probably already doing that. But I will call attention to some notable highlights here. First is the critical and challenging. The work that Sandy and her peers do across the United States and around the world is critically essential to the life of patients, in her case, pediatric patients. And it isn't easy. Challenges abound. Challenges like bloodstream infections that tragically affect hundreds of thousands of patients each year with a high mortality rate of 15% to 20%, and skin trauma and pain associated with alternative products. Second is around her favorite Covalon product, our IV Clear, antimicrobial gentle to skin IV Securement Dressing. As you can see in her words, it's making a real difference with her patients, fewer disruptions in their treatment and significantly less discomfort. And third, clinically effective and far more compassionate. Sandy and thousands of other nurses who are passionate for the care of their patients trust Covalon’s technology to help them achieve the strong outcomes they're shooting for and doing so with a strong eye towards compassion, understanding that all patients from a sub one-pound preemie to a hundred plus year old patient and all of us in between, greatly appreciated being treated with compassion when we're not at our best. We're very fortunate to have passionate partners like Sandy who don't just accept the status quo, but instead push forward, always looking for the best possible solutions for the patients. And similarly at Covalon, our team members wake up each day energized to be able to advance care and make a big difference in the lives of patients, big and small, young and old. So with that as a backdrop to our purpose and motivation, we'll now switch gears and I'll share a small sampling of some recent highlights. First, I'm extremely excited to share some great news about a very impactful clinical study that was conducted on our VALGuard Vascular Access Line Guard, which is our fastest growing product. A team of nurse researchers at a large, well-known children's hospital in the United States conducted a clinical study of VALGuard across critical and acute care units. The study was focused on reducing central line associated bloodstream infections, otherwise known as CLABSIs. In the United States, there are significant financial penalties in place to incentivize providers to take steps to continue to reduce these infections. Accordingly, infection prevention is a big priority for hospitals, and they're investing large sums of money to help reduce these bloodstream infections. This hospital had already implemented a number of prevention steps but wanted to take additional actions to lower their infection rate. And so they decided to implement Covalon’s VALGuard product. This one change in their protocol was able to drive a very significant reduction in their bloodstream infection rates in the departments that use the product in the trial. The results are so compelling that the research team have had the study selected to present at two very notable scientific conferences this fall. September's Association for Vascular Access, their Annual Scientific Meeting, which is the premier platform for the latest innovations and emerging technologies in vascular access and then, in October, the ANCC Magnet Pathway Conference, which attracts more than 11,000 nursing leaders from all around the world. In addition, this study is in the final stages of the peer review publishing process in a major scientific journal. We expect to see the study published later this year. Now, I realize some of you may be asking, hey, how will this impact Covalon and the value of our company? This is a big step for Covalon and for our pathway to win in the market. And it matters because clinical evidence can be a huge growth accelerator for the adoption of products, especially new to the world type products like VALGaurd that have no real direct competitors. With what we've already seen and what we know is coming, including this evidence piece, we are confident that this product can grow from a few million dollars today to more than $30 million of annual revenue by 2030. Second up here is a recently signed agreement with a longstanding partner for our collagen Advanced Wound Care Dressing product, Paul Hartman USA. Our partnership with them has been a very strong one, and this partnership has been a big driver of Covalon's growth over the last three years. Our new agreement is a three-year agreement with options for future renewal terms. All told, we expect this strong partnership to drive significant revenue growth for the company over the term of the agreement. Third here is our recently initiated work with Origin Merchant Partners. We're very excited at the opportunity to partner with them to advise in advance on a range of opportunities aimed at maximizing shareholder value and expanding the reach of our technology. These opportunities can include joint ventures, mergers or acquisitions, partnerships, or a variety of other actions. Our primary objectives here are to enable different ways for our amazing technology to benefit an even larger patient population and to unlock the significant value that we feel is inherent in Covalon. And in the past month or so, I've had the privilege to represent Covalon and present, take questions and do dozens of one-on-one meetings with current and future investors in the company at two different investor conferences, Planet Microcap Showcase: Vegas 2025 and the 2025 Bloom Burton Healthcare Investor Conference in Toronto. It's been great to be able to share how far we've come as a company in recent times and our exciting future ahead, very energizing conversations and dialogue on the future of our company, and why to invest in Covalon. And last but not least, tariffs. As I've seen, and you probably have seen as well, earnings announcement from competitors and other industry players in the spaces we operate in, I'm hearing warnings of tens or even $100 million plus tariff impacts to these companies who have intertwined their sourcing or selling supply chains into China and other countries. At Covalon, we've had a very deliberate North American-centric strategy for our manufacturing and supply chain, and boy, has this ever turned out to be a great approach. To date, we've not incurred a single penny of tariff-related costs on our products, and moving forward, we don't expect to see any material impact here. Over 99% of our company's total revenue comes from products manufactured in either the United States or Canada, and especially on the Advanced Wound Care side of our business, we have a number of competitors that make their product in China, which is now at a 30% tariff rate. And also Europe, which President Trump signaled last week, could see tariffs increase to 50% at some point in the future. We are the largest collagen advanced wound care dressing manufacturer in North America, and so we see our manufacturing strategy as a significant competitive advantage, and we're actively working to win more business as a result of this. Moving to the financial side, on the left, you can see our key financial results through the lens of this quarter, year-to-date, and our trailing 12 months. Looking at the past year and the current year-to-date, you can see the strong revenue growth relative to prior periods, and as we stated last quarter, we knew that our Q2 revenue would be lighter, driven out of the US Advanced Wound Care sales channel, but we do have solid line of sight to sequential quarterly growth in that channel, and for Covalon overall for Q3, and for our second half to be stronger than the first half. It's worth noting that in Q2, our Vascular Access and Surgical Consumables and International sales channels both had strong growth well into the double digits, and year-to-date, both of those sales channels are up more than 40% over last year. On a gross margin view, across the three different time lenses, performance in that 55% to 60% range which is at or above the gross margins that we see from many of the larger MedTech consumable companies. Q2 was a little less than our recent performance, and this was driven by a higher geographic mix of revenue coming out of our International sales channel, which has a lower gross margin than the US sales channels. And across all three time horizons, we've continued a disciplined approach to spending. And with the positive adjusted EBITDA in Q2, that marks our fifth consecutive quarter of profitability. With the cash generated from our operations in Q2, we ended March with more than $18 million in cash on hand, an increase of about $11 million from a year ago. This is a tremendous amount of cash for a company of our size, which gives us a lot of flexibility for different options to increase shareholder value. And you've heard me talk in the past about the hard work and focus the company has put on the US business over the past few years. And if you look at the right-hand side of the screen, you'll see the outcomes of that work. This US product revenue includes both our US Advanced Wound Care sales channel, as well as our US Vascular Access and Surgical Consumables sales channel. In markets that are growing in the mid single digits, Covalon has grown at a three-year CAGR of more than 30%. Call it five times higher growth than the underlying markets that we operate in. In addition to the slide here, you can go to the presentation on our website, and in the appendix, we have the full details on Q2, Q2 year-to-date and our trailing 12 months of financial information. And then looking at the US Vascular Access and Surgical Consumables sales channel in a little more granularity, we continue to be a strong partner to the best of the best children's hospitals in the US. And looking at the metrics that we believe are important, key performance indicators for the sales channel, as we look at our top 50 US hospital customers from last fiscal year, our number one priority is to retain all of the business that we've fought hard to acquire. Done. 100% retention of all 50, a huge testament to the stickiness of our business and the great products that these amazing hospitals count on from Covalon to enable them to achieve the outstanding outcomes that they deliver. Second priority is to grow our existing accounts, either by adding new products that they weren't previously purchasing, or by growing the volume of existing products in the account. And here we've seen strong revenue growth of 38% from the same group of our Top 50 hospitals from 2024. And the third priority is to add new customers. In Q2, we added 29 new hospital accounts to our revenue roster, which when added to the 21 we added in Q1, takes us to 50 new hospitals through the first half of the year, which given that in all of last year, we added 66 new hospitals total, is quite the acceleration here. And then transitioning to the third part that I told you we'd walk through today. Two quarters ago, I showed this slide and talked at a high level around the importance of these four areas of action. Last quarter, I went deeper into the commercial advancement area. And today I'd like to go deeper, a little deeper around the market development side of things. In future quarters, we'll cover the other areas. Market development is vital for driving growth in MedTech. By focusing on these four areas on the screen, we're building trust, supporting our value proposition with clinical and scientific evidence, and building key relationships. And here at Covalon, this area has been a big recent focus for us under the outstanding leadership of Dr. Kate Evely, our recently promoted Vice President of Clinical Affairs. So why as an investor should you care about this work? Well, three big reasons. First, it's an amazing growth accelerator, helping us increase awareness, shorten our sales cycles, and allowing us to have strong value conversations with hospitals and other healthcare providers. Second, it's also a massive amplification vehicle. Key opinion leaders who become strong advocates for the solve of the clinical problem have vast audiences and a credibility factor that goes a long way. And third, effective market development work can also have a mode effect, creating higher hurdles for future potential competitors. For our first bucket here of clinical and health economic evidence generation and dissemination, it's very deliberate to have both the generation and the dissemination here. The evidence piece is the key starting point, generating robust clinical and health economic evidence to demonstrate product efficacy, safety, and value. And our recent VALGuard clinical evidence piece that I went deeper on earlier is a great example here. Beyond that, we've also built a really robust hopper, a very strong hopper of evidence generation efforts in various stages. This is new ground for Covalon and very exciting for our future. But what good is evidence if no one knows about it? And that's where the dissemination becomes critical. Spreading the word of findings through scientific publications, presentations, and targeted communications to inform stakeholders and accelerate adoption. And as you heard me reference on the VALGuard study, we already have two different meetings where more than 10,000 nurses will be in attendance where our study authors will be showcasing and speaking to the great results of their research. We also expect to see the study published in a major journal here later this year. In addition to that, we're working to be able to communicate this evidence in many ways to reach all sorts of different customer segments. Second here is around engagement with key opinion leaders. We're building trusted relationships with these clinical leaders who align with our brand values and the therapeutic areas we operate in. And then we collaborate with them to co-create authentic, impactful, educational content and leverage their expertise to increase awareness of the clinical problems and the role that Covalon products play in solving them. In the past year alone, we've more than doubled our engagement with key opinion leaders, and it's both an increasing quantity as well as quality that we've achieved here. Third is around clinical customer engagement. And here it's all about connecting our company to our customers in a dialogue focused on the clinical challenges and our abilities to help them achieve their desired outcomes. In the past year, we've had upwards of a hundred of these interactions from our clinical affairs area to current and future users of Covalon's technologies. These conversations are accelerating revenue opportunities as well as uncovering unmet needs and challenges that have fed into our new product offer. And then fourth, strong and strategic partnerships with professional organizations that provide leadership in the therapeutic areas that we operate in, such as wound care, vascular access, surgical and infection prevention. Our partnerships with these groups have been essential, allowing us to contribute to advancing specialty, help to shape clinical guidelines and supporting initiatives that improve patient outcomes. These relationships have also given us access into the largest clinician networks where we can achieve further benefit from access to cutting edge innovation and commercial opportunities. So to wrap up today's call so that we can then take some questions, a quick summary. The impact that Covalon's life-saving and life-changing products are making with patients, the clinicians who serve them and for healthcare providers is significant. You heard that in Sandy's words, and I see it every time I meet with a hospital or clinician. It's incredibly motivating for us here at Covalon. Our growth accelerators are kicking in and driving meaningful outcomes, including our focus on market development. Exciting work to-date, and even bigger and more impactful things to come. The bottom line is that Covalon has never been in a stronger position than where we sit today, profitable operations, a clean balance sheet with more than $18 million in cash and zero debt. We've retained a highly regarded advisor to identify merger and acquisition and other opportunities to unlock value for our shareholders. And even with us getting to this point, which the Covalon team, our Board, and I am very proud of, we've only just begun and see a strong future that will enable us to realize the multi-year growth opportunity that exists here and become a major player in the very attractive and important spaces that we operate in. And with that, we'll transition to Q&A. For our questions, we'll start with questions that are typed into the Q&A feature here online. We'll take a 30 second pause to get things in order and then answer your questions.
Operator: We will now open the floor for questions. [Operator Instructions]
Brent Ashton: We have a question from Jerome Uzoziri. And the question is, given the company is sitting on $18 million of cash combined with our comments around the low valuation of the company, it's a question around buybacks. And yes, our cash position does give us significant flexibility as we explore various avenues for accelerating growth and increasing shareholder value, whether organically or through M&A. It's also allowing us to make investments in CapEx. And it's a great position to be in where we can also support a share buyback program. This is an active area of discussion with our board and with Origin, but not something we have executed on to date. We have a question from John Gregory around comments at recent Investor Conference of doubling the share price each year for the next five years. And the question is, when will the company be able to provide quarterly guidance? You know, at our stage in the company, that's just an area where we feel we have a really bright future. As I stated, we are very confident in our ability to grow the company and to continue to execute on shareholder value creation activities. At this point, we're just in the stage of our company and given the predictability of our revenue, we're not issuing guidance. We have a question from Matt Horvath around the main drivers of the erosion in gross profit as a percentage of sales. And yes, that is around the shift in revenue mix. So our International business, which is a smaller part of our business, but it does come at a lower gross margin. So that was a higher percentage of our mix this quarter compared to previous quarters. We do expect that gross margin to rebound. Worth noting that even at 55%, which is what it was in Q2, still at or above gross margins from a lot of larger multinational MedTech consumable companies like Baxter, BD, and 3M Healthcare or Solventum. We have a question from [Sass Asas], and it's around the adjusted EBITDA for the trailing 12 months has fallen off in the previous quarter. What explains the drop and is more representative? Yeah, and that's a function of the softer quarter from the US Advanced Wound Care. We had a big run-up in sales in that channel a year ago. As we explained last quarter, we saw a softer quarter this quarter with strong signs from both conversations, orders in-house, forecasts, to sequential quarterly growth heading forward in Q3 and a stronger second half than first half of the year. There's a question from Alex Fye, and it's asking about VALGuard sales for Q1 and Q2. We don't split those out separately, but as I said, it is our fastest growing product, and we do believe that that product between the strong growth we've seen already, the acceleration effect of this clinical evidence and future work that we're doing, that that product can be a $30 million product for us by 2030. There's a question from Arnold Shell around, are you considering a dividend rather than a share buyback? Those conversations happen at the Board, and it's always something we do consider, not something that we are here to announce today. We have a question from Zach Treece, and that is, what does the future of your international sales channel look like? Do you anticipate gross margins to improve the back half of the year as the US sales channel picks up? So I'll answer the second part of the question first. Yes, as we see that sequential quarterly growth kick back in, in Q3 and a stronger second half, we expect gross margins to pick back up. And then on the future of the International sales channel, it's an area that we've definitely rebounded this year. It's a strong growth driver for the company, and I commend the team. Really there, we've been focused on, we have some amazing products, and there's no reason why those products shouldn't be used by patients in other countries beyond the United States and other areas of focus. And so, we've been expanding both the products in existing countries, as well as looking at adding additional countries. And so the future, I think, is very bright there. We absolutely love our technology. You heard from Sandy some of the comments on the benefits of the IV Clear, and there's lots of other positive comments about other products. And so between our Advanced Wound Care products and our Vascular Access and Surgical Consumable products, we see a strong growth there going forward. And then we have a question from Matt Horvath around, why do we engage Origin Merchant Partners around undervaluation and things that we're evaluating from management? And so, yeah, that, when we think about Origin, right, we're very fortunate to have them as a partner. Our primary objectives there were to accelerate the adoption of our products, to benefit a larger patient population, and to unlock significant value that we believe is inherent to the company. We did issue a press release on this on May 20th that has more details and would refer you to that there. We're just refreshing here to see some additional questions that have come in. So there's a question here on, how is Covalon developing itself for a long-term competitive edge? Hiring better salespeople, offering the right products at the right price. Yeah, it's a multi-stage question there. And sorry, this question was from Henry Liu. And it's, really it's what we've talked about on the one slide. So it absolutely starts with commercial and advancing our commercial business. We are adding sales reps, have added in the US, and look to continue to do that. But it's selling in different ways and messaging and marketing in different ways as well. The market development piece, I went into deeper here. That's a very key part as well. And a key part of how we establish that longer-term competitive edge, we haven't talked about it yet. That'll probably be next quarter, but around innovation and some really exciting work that we're doing. We have our hopper of new product, new use cases, new claims, new line extensions is triple where it was a year ago. So there is no shortage of things we can do. And so prioritization is key to make sure we're doing the most impactful ones. And then obviously we see a big opportunity around business development, potential M&A activities. And we think those will be a huge driver of our future company position. And then the last question we have here is from Andrew Rem. And it's, how does EBITDA margin on International sales compared to the US? That's, we report EBITDA at the company level. And so that's there. Obviously, the gross margins on, we have said, shared today, the gross margins on the International business are a little less than on our US business, but it's also a different selling model and so different EBITDA profile. So that wraps up the questions online, happy to take any questions over the call now.
Operator: Your next question comes from Andre Uddin with Research Capital. Your line is now open.
Andre Uddin : Okay, thank you, operator. Hi, Brent, Kim and Katie. Just had a couple of questions. Can you please comment on the gross margins this quarter and was that actually due to a certain product mix?
Brent Ashton: No, so actually our margins, product margins have stayed fairly consistent. It's really just a function of the International revenue was a higher percentage of our revenue this quarter. And we expect that to normalize back through the back end of the year here.
Andre Uddin : Okay, that's great. And maybe you can comment a little bit on your M&A strategy. Are you primarily looking at the US market and do you have any sort of areas of focus that you want to target?
Brent Ashton: Yeah, so because of that, sorry, I should have said, thank you, Andre. It's great to hear your voice again and appreciate the dialogue. Yeah, on the M&A front, we're actively involved with Origin here. We're looking at a lot of opportunities on the table and I wouldn't want to rule anything out. Obviously, North America has been a big area of focus for us. But geographically, I think there are opportunities certainly abound in North America and beyond as well. It's certainly an area that we will look at. Don't want to provide, at this point, we're in the middle of the process. And so I don't want to comment on specific targets or areas of focus to respect the process.
Andre Uddin : Okay, that's fair enough. And you made a little comment on your US sales reps that you're going to be adding some. How many sales reps are you at and where do you think you want to go to?
Brent Ashton: Yeah, we currently have one open role that'll cover the West Coast of the US. And then as we look at 2026 and beyond, continuing to refine the model and as we advance and grow, what we, so we'll look at what makes sense to grow in a responsible way because we don't want to hire on a ton of people and then push costs up and kind of repeat some of the challenges in the past. So we've got an exciting future on our commercial side and very exciting between our sales team, our marketing team and all the good work that's going on there.
Andre Uddin : Okay, that's great, thanks Brent.
Brent Ashton: Hey, thanks Andre, thank you for the question.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to Brent for closing remarks.
Brent Ashton: Well, I really appreciate the questions from this group. I hope that each of you have a great rest of your day here, all the best and thank you again. And look forward to talking to you again in three months time.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.